Executives: Katharine W. Kenny - Vice President of Investor Relations Thomas J. Folliard - Chief Executive Officer, President and Director Thomas W. Reedy - Chief Financial Officer and Executive Vice President
Analysts: John Murphy - BofA Merrill Lynch, Research Division Craig R. Kennison - Robert W. Baird & Co. Incorporated, Research Division Brian W. Nagel - Oppenheimer & Co. Inc., Research Division Sharon Zackfia - William Blair & Company L.L.C., Research Division Scot Ciccarelli - RBC Capital Markets, LLC, Research Division Matthew J. Fassler - Goldman Sachs Group Inc., Research Division James J. Albertine - Stifel, Nicolaus & Co., Inc., Research Division Simeon Gutman - Crédit Suisse AG, Research Division Dan Galves - Deutsche Bank AG, Research Division Rod Lache - Deutsche Bank AG, Research Division Clint D. Fendley - Davenport & Company, LLC, Research Division Joshua Dolin - Wells Fargo Securities, LLC, Research Division N. Richard Nelson - Stephens Inc., Research Division William R. Armstrong - CL King & Associates, Inc. John H. Neff - Akre Capital Management, LLC
Operator: Good morning. My name is Christy, and I will be your conference operator today. At this time, I would like to welcome everyone to the first quarter fiscal year 2013 conference call. [Operator Instructions] Thank you. I will now turn the conference over to Katharine Kenny.
Katharine W. Kenny: Good morning. Thank you for joining our fiscal 2013 first quarter earnings conference call. On the call with me today, as usual, are Tom Folliard, our President and Chief Executive Officer; and Tom Reedy, our Executive Vice President and CFO. Before we begin, let me remind you that our statements today regarding the company's future business plans, prospects and financial performance are forward-looking statements that we make pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. These statements are based on management's current knowledge and assumptions about future events that involve risks and uncertainties that could cause actual results to differ materially from our expectations. In providing projections and other forward-looking statements, the company disclaims any intent or obligation to update them. For additional information on important factors that could affect these expectations, please see the company's annual report on Form 10-K for the fiscal year ended February 29, 2012, filed with the SEC. [Operator Instructions] Tom?
Thomas J. Folliard: Thank you, Katharine. Good morning, everyone. Thanks for joining us today. Used unit comps for the first quarter were flat compared to last year. Excluding appraisal-only traffic, we believe our traffic was somewhat lower than last year, but we are pleased that the continued strength of our overall execution allowed us to maintain our solid per-unit gross profit for both used and wholesale vehicles. Our focus on new store growth continues to gain momentum. In the first quarter, non-comp stores drove our overall 3% growth in used units. Total used vehicle gross profit grew by 3%, and used vehicle gross profit per unit was similar to last year's strong first quarter at $2,221. Overall, appraisal traffic grew, but wholesale unit sales decreased by 2%. This was largely due to 3 factors: extremely difficult comparisons in the last 2 first quarters of 52% and 32% growth; a slightly lower buy rate; and a shift in the calendar that resulted in one less Tuesday, which is one of our auction days. Excluding this calendar shift, we estimate wholesale units would have been flat to last year. Our wholesale gross profit per unit declined somewhat from our all-time high of over $1,000 last year, but at $980, represents the second highest in the company's history. CAF quarterly income continues to be a strong contributor growing by 8% to $75 million. During the quarter, sales of 5-year and older vehicles as a percentage of our total sales remained at historic highs, above 25%. Sales of SUVs and trucks remained above the same as a percentage of our total quarter-over-quarter and year-over-year. As we've discussed before, our mix of vehicles will continue to vary based on consumer demand. I'll now turn it over to Tom to talk about CAF. Tom?
Thomas W. Reedy: Thanks, Tom. Good morning, everybody. CAF income was up $5 million or 8% compared to the first quarter of fiscal 2012, and our portfolio of average managed receivables grew 16% to more than $5 billion. Growth in earnings lagged growth of the portfolio due to the year-over-year increase in the loss provision. While we experienced continued positive loss performance in the first quarter this year, we're up against a tough comparison. Remember, loss experienced after resulted in the provision being a credit in Q1 of last year. As for favorability in the loss provision in both periods, income growth would have more closely resembled growth in the managed receivables. Increase in managed receivables was largely driven by strong origination volumes over the course of FY '12 and into FY '13, which were lifted by growth in CAF penetration, increased average selling prices and CarMax sales. CAF penetration grew over the past year as we have moved back to a pre-recession origination strategy and taken volume back from third-party lenders. As you may recall from our prior conversations, this was always our plan. We started taking this volume back in early fiscal '12, and by January of this year, had transitioned to retaining it all. During the first quarter, CAF financed 37% of retail vehicle sales versus 34% in the prior year period. And our loans originated increased 14% versus the first quarter of fiscal 2012. The move to a pre-recession strategy was also apparent in allowance for loan losses, which increased $12 million or 36% to $46.6 million. The increase is not a reflection of any deterioration in performance. Adjusted for changes in the underlying credit mix, receivable performances continued to improve. Access to financing for our customers continues to be very strong with more than 85% of applications receiving at least one approval. Third-party subprime providers accounted for about 16% of sales in the first quarter, a level similar to the fourth quarter of fiscal 2012, and that compares with 8% in the last year's first quarter. We typically experience our highest subprime volume in the fourth quarter due to tax refund season. However, this year originations by our subprime lenders ramped in Q4 and remained relatively strong through Q1. As I mentioned last quarter, we are seeing some deterioration in the credit quality of applicants, but the majority of the increase is the result of our subprime partners providing more attractive offers to our customers. You may have noticed that unused capacity in the warehouse facility was down about $350 million at quarter end. Since then, we priced and closed our second public ABS deal of 2012 sized at $940 million. I'll now turn it back from to Tom to wrap up.
Thomas J. Folliard: Thank you, Tom. I'll talk about new stores for a minute then we'll open it up for questions. First, since resuming our growth, our new stores in aggregate are performing slightly above our sales expectations, and we are very excited about our store opening plans over the next several years. As you know, during the first quarter, we opened 2 new stores -- 2 stores in new markets, Lancaster, Pennsylvania and Bakersfield, California. In June, we also opened a third store in our Nashville market and our first store in Fort Myers, Florida. You will also note that in today's press release, we included 3 planned openings in new markets for the first quarter for our next fiscal year in Columbus and Savannah, Georgia and in Harrisonburg, Virginia. Harrisonburg will be the pilot for our updated small store concept. And with that, we will open it up for questions. Operator?
Operator: [Operator Instructions] Your first question comes from the line of John Murphy of Bank of America.
John Murphy - BofA Merrill Lynch, Research Division: As we look at these used unit volumes, which were flat year-over-year after a quarter of positive growth, how much of that segment then would you attribute to the lack of supply versus lack of demand? And on the demand side, are you seeing any shift away from used into new? Or is that not really what's going on?
Thomas J. Folliard: It's a variety of factors, and it's really difficult for us to say that there's a shift from used to new. But the lack of supply is not just -- it has multiple impacts on our business. One, we have historically performed -- kind our sweet spot has been 1- to 3-year old cars, and obviously, there are less of those available. You've seen that with our mix of our inventory shifting towards overstock. But the other part is there's just been this appreciation across all segments in the wholesale business that have caused this really high retail. So I believe it's having some impact on our sales. I also think that the weak economy and high unemployment rate continues to be a drag on the consumer.
John Murphy - BofA Merrill Lynch, Research Division: And as new stores open up, is there a higher cost associated with sourcing the inventory for those stores? In other words, how much of a difference is there between average gross profit per unit in a newly opened store versus one that's been up and running for a while?
Thomas J. Folliard: Our average profits, we manage them pretty consistently. And it's not that there's a big difference in the newer stores, but they're obviously starting off at a much lower sales rate, and they're carrying a much heavier load of SG&A.
Operator: Your next question comes from the line of Craig Kennison of Robert W. Baird.
Craig R. Kennison - Robert W. Baird & Co. Incorporated, Research Division: On the advertising program you guys have, how satisfied are you with the return on investment? And just how effective do you think that advertising program is?
Thomas J. Folliard: I wish we can manage our advertising better than we can. We're a firm believer that we need to continue to build our brand. Obviously, we wish we got a little more traffic in the quarter than we did. But advertising is not just what we spend on TV but also our strategy around the Internet, around paid searches and our listing, where we list our cars with Cars.com and AutoTrader.com and other listing agents. So it's been very dynamic over the last several years as we shifted lots of dollars towards the Internet. And we believe we're making a solid investment in advertising. We believe we're building our brand. And we believe, over the long run, advertising, obviously all that we're spending will pay off.
Operator: Your next question comes from the line of Brian Nagel of Oppenheim.
Brian W. Nagel - Oppenheimer & Co. Inc., Research Division: So the question -- just on expenses, if we look at here in Q1, expense growth was roughly muted given the accelerating unit expansion you're experiencing. So the question I have is that -- should we expect expense growth to pick up as we move through 2012 here and as the unit growth picks up further as well?
Thomas J. Folliard: Well, a lot of it is going to be driven, Brian, by whether or not we get stronger comp sales. I mean, unless you're just referring to growth expenses, the majority of the difference year-over-year is related to new store growth.
Brian W. Nagel - Oppenheimer & Co. Inc., Research Division: So I guess -- yes, so if I'm looking just at that piece, how should we think about the cadence of that component of your expense through 2012? In other words, so you have 2 centers, 2 stores here in Q1. If you opened a large number, would there be higher expenses then associated with that?
Thomas J. Folliard: Well, of course, there's going to be higher expenses with more openings. When you look at it on a year-over-year basis, we opened up 5 last year. We'll open 10 this year. But we're also prepping for between 10 and 15 the following year. So yes, you're going to see some more expenses as it relates to growth. We haven't guided around that specifically by the quarter, but you would expect to spend more money in the year when you're building more stores.
Thomas W. Reedy: Yes, Brian, if you look at this quarter year-over-year, we're up about $12 million. And about $10 million of that is due to the SG&A in new stores and all the things that go around supporting our growth initiatives, things like subsidy preopening, relocation, et cetera. So the lion's share of that increase is due to new locations. Obviously, as we grow comps as well, sales commissions will go up, and you'll see SG&A climb from that perspective, too.
Brian W. Nagel - Oppenheimer & Co. Inc., Research Division: Got it. Maybe a quick follow-up. On subprime, it was another -- it was a decent driver of your sales here in Q1. I know you addressed, to some extent, this in your prepared remarks. But of course, we saw a strong subprime business in the fourth quarter. I think you had commented or you talked about that some of that was driven by -- it's kind of a seasonal strong business, but you're persistent in Q1. I mean, is there something shifting with that subprime business now that we're going to see that to be a contributor to your business throughout the year?
Thomas W. Reedy: I think as we've talked about it, there has been a shift in the behavior of our third-party lenders. We've kind of given more attractive offers to our customers because they become more comfortable with the CarMax origination channel. They've seen better performance in our portfolio, and they're willing to go out there and give our customers more attractive offers. What we thought -- if you look at fourth quarter versus first quarter this year, as I mentioned, the -- coming out of the fourth quarter last year, we did see a step-up in their activity, and that continued into the first quarter. And if you take a look back at them -- FY '10 and FY '11, what we saw was about a 1-point drop in Q4 versus the Q1 subprime penetration. And this year, it was relatively flat. So we did see a step-up in their activity, and it continued in the first quarter. As far as going forward, that's going to depend on our partners' experience. But at this time, we have no reason to believe that there's any reason it should change.
Thomas J. Folliard: And the only thing I'll add there, Brian, is you know how our credit flows, and the customers who qualify with these providers have gone through every other credit channel in our store. And at that moment, they're about to leave without buying a car, so we're pretty convinced that this is almost 100% incremental business. And because of the fact that we subsidize them, because of the fact that customers have access to any piece of inventory at CarMax, I think we're giving these folks a fantastic deal. And if our lenders continue to get more comfortable with the experience they have with this origination source, then it's fine with us if they continue to offer more credit to our customers.
Operator: Your next question comes from line of Sharon Zackfia of William Blair.
Sharon Zackfia - William Blair & Company L.L.C., Research Division: I wanted to talk through a couple of the things that are perhaps within your own jurisdiction. So obviously, comps are composed of traffic and conversion. And so can you walk us through maybe any initiatives or thought processes on improving one or the other? And I'm also curious as to whether or not you're seeing your web traffic decelerate. I'm wondering essentially if consumers are kind of opting out of the traffic because they're not happy with the inventory or the pricing or something like that.
Thomas J. Folliard: So I'll first talk about overall traffic and conversion and the things that we're doing to try to improve both. We're constantly tweaking our advertising program and trying to figure out what the right mix is of spending on TV and spending on the Internet and spending on radio. We have tried to manage that along with units sold so that we're not overspending related to the number of cars that we're selling. With flat comps, we're going to manage that down a little bit. If comps went up, we'll probably spend a little bit more. But in terms of the mix of advertising, I feel we're pretty comfortable with it. We have a new ad agency, new in the last year or so. We just came out with a brand new set of [Audio Gap] have a new campaign called Start at CarMax. We're very pleased with how that came out. I think with any advertising program like that, you're going to see the results over a longer period of time, not so much on a short period of time. In terms of execution in the stores, I mean, pretty much everything we're working on is to try to improve our conversion. When we're trying to take costs out of reconditioning, that's to improve our conversion and improve the offer to the consumer and improve quality. We've talked lots about improved training programs in the stores and training and development for not just our sales consultants but our sales managers as well in our stores. We've upgraded our on-boarding process, and we're bringing in a new sale consultant on board. We're providing much more of an extensive program than we have in the past because at the end of the end of the day, it's still a sales job. You still have to build forward with the customer. You still have to overcome objections. I feel like we're making some good progress there. I mentioned in my opening remarks that our traffic was down slightly. When you subtract out appraisals, we've said that appraisal-only volume has really spiked. And you've seen it in our numbers, particularly in wholesale, over the last couple of years. And so for the first quarter, if you took that out, despite the fact that traffic was down slightly, our conversion would have been up slightly. But if there is no one thing, no one button you can push to change conversion, I think it's something we'll be working on for as long as we're in business. And the last question you asked was about web traffic. I'll let Tom give you the update there.
Thomas W. Reedy: Yes. Web traffic continues to be up year-over-year, and comp market is up in kind of the middle teens -- lower middle teens.
Sharon Zackfia - William Blair & Company L.L.C., Research Division: Is that consistent with the trends you were seeing in web traffic throughout last year? Or is it decelerating?
Thomas W. Reedy: I wouldn't -- it's consistent with last year. There's no difference there.
Thomas J. Folliard: We continue to see growth in web traffic throughout.
Operator: Your next question comes from the line of Scot Ciccarelli of RBC Capital Markets.
Scot Ciccarelli - RBC Capital Markets, LLC, Research Division: Question about wholesale. I mean, I understand the difficult comparisons. I understand the calendar shift. All that makes sense to me. But 2 questions, I guess. One, why would you have a lower buy rate given the way you run that program? And two, are we at the point where you would expect wholesale units to roughly track used retail units?
Thomas J. Folliard: Well, first, the difficult comparison is worth rementioning because going up 52% and then 32% means that our volume of wholesale doubled in 2 years in the same quarter, and we were able to deliver that same volume. The lack of a Tuesday is significant. It's a couple of percentage points, and we think we would have been flat had we had that extra Tuesday. I have no idea if we're at a point where they'll track. They happen to track this quarter. We've said all along, we thought that both the margin was somewhat unsustainable and that those -- the growth that we've seen in wholesale, we didn't expect to continue. And we have said that we believe over time that they'll, in general, move together, and I still believe that. I wouldn't take this quarter and say because they pretty much exactly matched up that we're going to see that going forward. There's too many other variables involved. And the other question you asked on buy rate, remember, we could have bought at 40% if we wanted. But our margins would have dropped the whole bunch because the only way you can do that is make higher offers. And since we don't know which ones we were or weren't going to buy, we'd have to make higher offers across the board. So if we raised all of our offers by $500, I'm sure our buy rate would have been significantly better, but our margin also would have also been much lower. So there's always a balancing act. There's probably no -- we're always trying to optimize it, but there's probably no exact right answer to that question.
Scot Ciccarelli - RBC Capital Markets, LLC, Research Division: So what was the buy rate this quarter then and what did that compare to?
Thomas J. Folliard: It was only -- it's only down slightly. I mean, we've been running around 30%, and we were down, I think, 0.5 point or 1 point. So it's not like it's a big number.
Operator: Your next question comes from line of Matthew Fassler of Goldman Sachs.
Matthew J. Fassler - Goldman Sachs Group Inc., Research Division: Kind of a 2-part question. Sharon asked you about some of the controllables related to traffic among other things. Just if you could talk a bit to the diagnostics of why you think traffic in particular is under pressure and where do you think the supply issue is something that shows up on the traffic side or if it typically shows up in conversion. Is there a function of people looking for the kind of car and not finding it? Is that supply dynamic kind of spreading, if you will, into traffic? And then a second -- or the second part of the question, if you will, this is the third or fourth quarter in a row where your ASPs have outperformed the Manheim index for the comparable period. So you're up more than the index, which is now under pressure. I'm sure there could be lots of reasons for that related to mix, but if you could shed some light on your pricing trend versus the market, that would be great.
Thomas J. Folliard: That was a long question, Matt. First one on traffic, we don’t get too wrapped up in one quarter of traffic being slightly down. I talked earlier about advertising being a long journey. And we have continued to spend, and we've continued to invest in both our TV and our radio and our Internet advertising and search engine advertising and continuing to develop our website. And another driver of traffic is just continuing to give a great experience to the customer. When they walk in the door, still our biggest source of customers when we ask comes from word of mouth, and we think our stores are doing a great job there. So we think we're doing all the right stuff. I think -- you asked about supply being a traffic driver. Yes, I think it has some impact. If historically we -- as I said, our sweet spot has been more in the 1- to 3-year old cars. There's a lot less of those cars out there available. I talked about the fact that the lack of supply has driven our prices up. And you mentioned that in part 2 of your question. Our margins really haven't moved that much. If you look at it, $100 or $200 where as our average retail. If you go back to November of '08, it has gone up about $3,000. That's actually a direct result of the lack of supply. So yes, I think it has some effect. I think some consumers look at pricing and just decide to not get out there and buy right now. And I think until we see some movement in the supply and the SAAR gets back up to historical levels, then we're probably going to be looking at this for a little while.
Matthew J. Fassler - Goldman Sachs Group Inc., Research Division: And as you think about your pricing versus the market, is your relationship to the market pretty much where it’s been?
Thomas J. Folliard: Yes, I haven't seen that. And we don't compare to that. So I couldn't give you an answer on why we're different than the index. And I don't know if the -- their index is over a broader set of inventory compared to what our index is.
Operator: Your next question comes from the line of James Albertine of Stifel, Nicolaus.
James J. Albertine - Stifel, Nicolaus & Co., Inc., Research Division: Very quickly, I just wanted to touch on sort of the new store productivity. You called out -- I think you mentioned some details in the prepared remarks. But considering the lack of the late model supply and that if you look at new store productivity over time, actually it's been improving. Is there something that's changed from the cost standpoint? So I had seen an analysis that goes back to -- way back to 2003, so maybe asking if you can provide an updated sort of look at what the new store investment sort of budget is going forward and how it's changed pre- and post-recession?
Thomas J. Folliard: Yes. It probably -- it hasn't really changed that much in total, again, because there's lots of different variables in there. If you go back to pre-recession and what we would spend on a combination of the land and building, those numbers really haven't moved dramatically when you size the land and the building and max it out to what we were doing before. So for the same-size building, similar piece of land in a similar-priced market, our prices are going to be -- the cost of building a store is going to be pretty close. What has changed is our profitability of the company and profitability per car sold. So kind of the sales hurdle required to deliver a good return is lower than it used to be. And when I talk about our new stores performing slightly above their sales expectation, obviously, when we decide on an investment and we build a store, we expect it to sell a certain amount of cars and then deliver the right amount of profitability to deliver return. And the point we're making in the prepared remarks was that we have restarted growth going back 3 years ago. We opened the 3 stores that were already sitting there and built, Cincinnati, Dayton and Augusta. We opened 5 stores last year and 3 stores this year. So that's 11 stores that we've opened since coming out of the recession. And just as a group, they're slightly above our sales of expectations, which -- obviously our sales expectations are built around what we need to sell to deliver a return.
Operator: Your next question comes from the line of Simeon Gutman of Credit Suisse.
Simeon Gutman - Crédit Suisse AG, Research Division: Latching on to an earlier question, I think Brian asked regarding subprime. If comps were flat but the subprime penetration went way up, I'm trying to figure out what that means for what's happening at the prime or semi-prime levels as far as volume growth and then if there's anything to diagnose about the consumer in that segment.
Thomas W. Reedy: I think as you kind of articulated, Matt, pretty straightforward. And as I mentioned in the prepared remarks, we are seeing credit quality a little bit down through the door and our Tier 1 approval rate, meaning CAF, is a bit down from last year. So subprime is picking up the slack. And so we are seeing some pressure there.
Thomas J. Folliard: But we're still delivering. When a customer walks in the door, more than 85% of our customers are having access to credit, and that's across the board, Tier 1, Tier 2, Tier 3. As I mentioned earlier, we are very proud of what we're able to do for the subprime customer. I think that nowhere do you get a better deal than you do at CarMax if you haven't followed that credit profile. And obviously, we would like to do better with Tier 1 and Tier 2. I talked about a lot of the factors around why we think sales were a little slow for the quarter or flat for the quarter. And I think those variables are still there. We need to see the economy pick up. We need to see unemployment move down. We need to see some more movement in the SAAR, and it's going to take some time.
Operator: Your next question comes from the line of Rod Lache of Deutsche Bank.
Dan Galves - Deutsche Bank AG, Research Division: It's Dan Galves in for Rod. I just wanted to ask about the used retail margin per unit. It came down throughout fiscal 2012 each quarter and then jumped back up to basically year-ago levels in Q -- in this quarter. What do you attribute that growth back to last year's levels? And then second question on CAF. The net interest margin seemed to decline a bit in the previous quarter, back up this quarter to pretty high levels again. How do you account for that? And what are you seeing in the current securitization market in terms of cost of funding?
Thomas J. Folliard: I'll talk about margins, and Tom can talk about the interest margin question. But our margins have been relatively consistent. Sometimes -- when you look at our margin, I know we're down $20. And I've said all along, we can't manage margins that closely. So if we're within $20 or $50, it's pretty flat. And this quarter was, for us, pretty flat to last year. And first quarter is historically a pretty strong margin quarter for us. So we didn't really look at the year and say that -- and feel like our margins had been declining throughout the year. They've been pretty close.
Dan Galves - Deutsche Bank AG, Research Division: So there's some seasonality there?
Thomas J. Folliard: There has always been a little seasonality around margin. And Tom will talk about interest margin.
Thomas W. Reedy: Dan, I can talk to interest margin. If you remember, the interest margin is the combination of the APR, our funding costs and market influences, which drive kind of both of those. And we don't control the funding costs. And APR, we're going to do what the market takes. As we mentioned, we have been taking back volume that we used to pass off to our third-party lenders. And that volume is at lower credit volume, thus at higher APRs. So that's active there. You've seen some impact in rising APRs over time because it's going to take a while to get through the system. But at the same time, we've been aggressive in making sure that we're providing good offers to our high-FICO, high-credit customers. And so there's some offsetting factors going on there. As far as the securitization market, we just -- as I said, we priced the deal a couple of weeks ago. It went as good as can be, probably stronger than the past deal. Cost of funding is priced 5 basis points tighter if you take a weighted average spread on the deal. So the average coupon on the bond is about 1.03%, something like that. So still very strong. Still seems like there's a lot of access to the market. We went out with $750 million deal and ended up pricing a $940 million deal with tighter spreads.
Rod Lache - Deutsche Bank AG, Research Division: Okay, got you. And there's no help you can really give us on kind of net interest margin going forward, whether it's up from this quarter's level or down, it's just tough to call?
Thomas W. Reedy: It is tough to call because, as I said, there's a lot of moving pieces, and we're just going to try to optimize what's best for CarMax over the long run.
Operator: Your next question comes from the line of Clint Fendley of Davenport.
Clint D. Fendley - Davenport & Company, LLC, Research Division: A question here on the wholesale. I'm wondering, for the 10 new stores that you're planning to open this year, how many you would anticipate would be wholesale sites? And I'm wondering, if a new store also serves as a wholesale site, what is the typical timing for when you would begin running the auctions after a store opening and just any incremental costs involved in that.
Thomas J. Folliard: Yes. I don't know off the top of my head of the 10 that we're opening how many will have auctions in them. We don't run auctions at any of our satellite stores. So if you look at the mix of stores for the year, if you take out the satellites, in terms of the ones that will run auctions, when we're looking at going into a new market, we factor in wholesale as one of the factors that we use to determine how much land we need to buy, how big a building we need to buy. So it's all built in to the economics. When we talk about our CapEx plan for a year, we're factoring in what our wholesale capacity needs are when we're going and building new stores. And we only run auctions at about 55% to 60% of the locations that we have, and we shift the other cars from, say, a satellite store to a hub store. In terms of when does a new store start running an auction, it all depends on its volume. It all depends on how quickly they buy wholesale cars. Oftentimes, we'll start an auction in a new location by running once a month. And then as the volume picks up, we'll go to every other week and then ultimately get to weekly in the sales. So we're pretty analytical about it. We're well aware of what the shipping costs are to move from one to another, and we also don't want to let cars sit around for too long. So there is no exact answer. It's very much dependent on volume. But as I said, when we're -- as we're building these stores, the fact that we run an auction and that we need acreage to have these cars is factored into our decision making.
Operator: Your next question comes from the line of Matt Nemer of Wells Fargo Securities.
Joshua Dolin - Wells Fargo Securities, LLC, Research Division: It's Josh on for Matt. As we look at the stores that are going to be rolling out for the next 12 months, can you give us any color on what store of the future feature is going to be carried out to those and which stores will have them or how many will have them?
Thomas J. Folliard: Yes. I think our -- the next set of stores that will be what we call next-gen, one will be in Des Moines, and 2 in Denver. We have Fort Myers and Naples also coming this summer. Those did not get the package because of the long build time. And the -- but a couple of important things to note, a lot of the things that we hope to be able to learn, we think, are transferable back into the existing chain without spending a whole bunch of capital. So there's some technology advancements in the stores, and some of those things are pretty modular and can be put back. But there's a lot of different customer service things. We've separated out the appraisal area completely. We can roll that back into the stores without a bunch of capital. Simple things like we allow customers to test drive cars on their own, which we just have not done to this point. That's obviously easy to do in all of our stores. All of our cars are unlocked. Customers have access to browse the lot and go in and out of cars. For security reasons and for making sure that they have a sales consultant with them. We haven't done that before. That's also pretty modular and can be rolled back. Our sales consultants and sales managers are using iPads to try and help with delivering a better customer experience. That's another thing, obviously, we can put back into existing stores without a bunch of capital. So it's awfully early. We only have 1 store opened. We're pleased thus far with the results and with what we're learning. But in terms of how quickly will we get into the rest of the chain, it's just still a little bit too early.
Operator: Your next question comes from the line of Rick Nelson of Stephens.
N. Richard Nelson - Stephens Inc., Research Division: I'd like to ask you about the health sufficiency rate. What happened in the quarter and compared to the prior year?
Thomas J. Folliard: Well, Rick, we don't have that one handy. While they're looking for the numbers, I would guess it's relatively flat since sales were flat and our buy rate was relatively flat.
N. Richard Nelson - Stephens Inc., Research Division: Got you. And if the number is coming up, if I could ask, I know you like to talk about market share on an annual basis, but any commentary as to what you think happened in the latest quarter maybe in the various buckets, the 1- to 3-year-old cars, the 5-plus cars.
Thomas J. Folliard: Yes. Rick, just because of the historical volatility around market share numbers, we're only going to talk it about annually. So we gave our share numbers at the end of the year, and we'll give another update at the end of this year. The self-sufficiency was up slightly for the quarter.
Operator: Your next question comes from the line of Bill Armstrong of CL King & Associates.
William R. Armstrong - CL King & Associates, Inc.: Just to touch on an earlier question a little bit, obviously we've seen recent indications, various indications that used car prices are softening a little bit. To what extent are you seeing that? And in your view, do you think that's sustainable?
Thomas J. Folliard: Well, I think our prices were relatively flat in terms of our total ASP year-over-year. So...
William R. Armstrong - CL King & Associates, Inc.: In terms of wholesale price, the price that you got, that you're seeing in the market?
Thomas J. Folliard: No. In terms of -- I'm saying our average retails are relatively flat. And you're asking...
William R. Armstrong - CL King & Associates, Inc.: Well, I mean your...
Thomas J. Folliard: The wholesale and retail, so it's a result of that. And I have seen some softening largely in that the last couple of years. Particularly at this time of year, we've seen pretty big appreciation in the wholesale market, and we're not seeing that as much as we have in the past. But if you backed up pre-recession, what we would normally see coming out of the spring is a pretty steady depreciation throughout the second half of the year, which is obviously going to have an impact on pricing. And we don't know if that's going to happen this year, but that would be what we would consider more of a normal curve of how pricing should flow. That's also driven by how many new cars are sold and how many new cars are sold each month. And although SAAR has been moving pretty steadily, it was down in May compared to what it was in April. I think if we see a steady climb in the SAAR throughout the next couple of years, then we may get back to what we would consider more of a normal depreciation curve.
William R. Armstrong - CL King & Associates, Inc.: Got it. Do you think that the -- what looks like will be an increase in off-leased vehicles entering the wholesale market beginning next year, do you think that will have an appreciable impact on supply and on your vehicle cost?
Thomas J. Folliard: The supply, total supply, is going to be driven by total SAAR, not the percentage of which -- not the percentage of new cars that are leased. If there's a bigger percentage of new cars that are leased, it makes -- our ability to acquire that inventory is a little bit easier because the cars are more organized. They come back through leased companies, and they show up at auction pretty consistently. But in terms of the total supply, the percentage of cars that are leased over the long haul really doesn't have any impact. It changes the timing a little bit. It changes where we have to go buy cars. So again, I don't think pricing is going to be driven by the percentage of cars that are leased. I think it's going to be driven by the total number of new cars sold in the U.S.
William R. Armstrong - CL King & Associates, Inc.: Right. And are you seeing any impact that you're able to quantify at all on new car dealers holding on to a greater percentage of their trade-ins and re-retailing them rather than putting them out in the auctions?
Thomas J. Folliard: No. I mean, we haven't seen an impact in terms of our sourcing ability. And what you've -- what we've heard from lots of the new car dealers is that they're actually keeping older stuff, older stuff that they historically would have wholesaled. A lot of that stuff does not meet our retail standards, and that would fall into our wholesale area, which as you have seen, has grown substantially over the last couple of years. So what we've seen and what we've heard in terms of behavior from other dealers about keeping stuff and selling stuff at retail, it feels like it's been more driven by selling stuff that they normally would have wholesaled.
Operator: Your next question comes from the line of John Neff of Akre Capital Management.
John H. Neff - Akre Capital Management, LLC: Just one here, and that is you sort of mentioned earlier that subprime lenders are getting more comfortable with CarMax's origination channel. I was just wondering if you could sort of describe what they were less comfortable with prior and why that's waning.
Thomas W. Reedy: What -- I think what they've seen is the performance of our portfolio. That's the biggest evidence that you can give. And they've told us -- both our subprime and Tier 2 lenders have told us a similar set of assets generated out of CarMax performs better than one generated elsewhere. And if you think about what are the risks to an auto lender, it's the collateral, and it's the information you're getting about the customer. And our business model provides a very elegant origination channel in that we know the collaterals work because we bought it. So there's no obscuring of that. It's very clear. And we have a transparent process, so the information about the customer is very solid. So when the lenders start looking at the risk they have embedded in the auto lending practice, they don't have to factor anything in for, perhaps, a disconnect on what value of the asset is or the information from the customer.
Thomas J. Folliard: And we bring all our cars up to the same quality standard. It doesn't matter what tier a customer buys them. Whether they're Tier 1, Tier 2, Tier 3, subprime, the quality standard's all the same. And that's another thing. We've heard loud and clear from our providers is that the quality of car that we sell, you're more likely to pay if your car is still running. Okay. Seeing no further questions, I want to thank everyone for your support and your interest. And of course, thanks to all of our associates once again for your dedication and hard work and all you do every day. And we'll talk to you next quarter. Thanks.
Operator: This concludes today's conference call. You may now disconnect.